Operator: Good day and thank you for standing by. Welcome to the Voxtur Analytics 2021 Q3 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Jordan Ross, Chief Investment Officer. Thank you. Please go ahead.
Jordan Ross: Good morning, everyone. Thank you for joining us for the Voxtur third quarter earnings call where we will discuss our financial results for the period ended September 30, 2021. Please note that our results will release yesterday and can be access on SEDAR or on our website at voxtur.com. Joining us today are Executive Chairman, Gary Yeoman; CEO, Jim Albertelli; and CFO, Angela Little. We will begin with prepared remarks and then move into the Q&A session. If we are unable to take your question, you are always welcome to contact me directly at jordan@voxtur.com. Angela Little will begin by discussing our financial results, you'll then hear from Gary Yeoman, who will outline our strategic vision, the milestones we've achieved including our recent announcement regarding the acquisition of Benutech and our strategic priorities for the fourth quarter and into 2022. Finally, you'll hear from Jim Albertelli, who will provide an update on the execution of our strategic vision through our organic growth opportunities and operational improvements. Before we get started, please be advised that some of the information that we will share on this call may contain forward-looking statements. We caution you not to place undue reliance on forward-looking statements and undertake no duty or obligation to update any forward-looking statements as a result of new information, future events, or changes in our expectations. Further, on today's call, we will report using both IFRS and non-GAAP financial measures. We use these non-GAAP financial measures internally for financial and operational decision-making purposes, as we believe that they provide meaningful measurement of financial performance and valuation. These non-GAAP financial measures are presented in addition to and not as a substitute for financial measures calculated in accordance with IFRS. To see the reconciliation of these non-GAAP measures, please refer to our press release distributed November 29th, and our management discussion and analysis, both of which are available at sedar.com and on our website at voxtur.com. A replay of today's call will also be posted on our website. Finally, please note that all references to amount or currency during today's call are to Canadian dollars unless otherwise stated. I will now turn the call over to our CFO, Angela Little.
Angela Little: Thank you, Jordan. Good morning, everyone, and thank you for joining us. Q3 was a strong quarter for the Company. We continue to reinvest in the Company as well as execute against our strategic growth initiatives including completion of the Xome acquisition on September 1st. We are pleased to report that revenue and gross margin for Q3 and year-to-date 2021 increased both quarter-over-quarter as well as year-over-year. Q3 2021 revenue was $24.7 million, which represents a 37% increase over Q2 2021 and a 402% increase over Q3 2020. Year-to-date revenue is $57.2 million, which represents a 294% increase every year-to-date 2020. Q3 gross profit was $9.5 million representing a 15% increase over Q2 2021 and a 359% increase over Q3 2020. Year-to-date gross profit was $25 million, representing 280% increase over year-to-date 2020. Revenue from U.S. operations represented approximately 91% of total revenue for Q3 and 88.6% of total revenue for year-to-date 2021, up from 61% over Q3 2020, and 60% over a year-to-date 2020. This is a result of our continued expansion into U.S. markets following the Voxtur and Xome acquisitions in 2021. Turning to the balance sheet, we ended the quarter with cash and cash equivalents of $37.9 million leaving the Company well positioned to continue executing on our strategic growth plans, including the acquisition of Benutech, which will close before the end of 2021. Looking ahead to Q4 and 2022 our focus continues to be on revenue growth. We expect to see increased volumes in valuation, title and default services as a result of the foreclosure moratorium being fully lifted on 12/31. We also anticipate significant revenue growth for new clients as a result of the investment in our sales efforts throughout 2021. As a result of the increased revenue combined with efficiencies and synergies gained from the investments we've made over 2021, we are anticipating positive EBITDA starting in Q1 2022. I will now turn the call over to our Executive Chairman, Gary Yeoman to provide additional guidance as to the Company's strategic focus for the remainder of 2021 and 2022.
Jim Albertelli: Yes, so since he's got technical issues. This is Jim Albertelli, the CEO for Gary Yeoman. Thank you, Angela. Good morning, everyone, and thank you for joining us. You just heard we've had a strong third quarter which is given us the momentum to continue along our growth trajectory for the remainder of the year and into 2022. Our driving goal continues to be our transition to a SaaS-based model. We have made significant progress in this regard over the past year, including several notable accomplishments in the third quarter alone. You'll recall that we acquired the Anow platform in April of this year. As the only fully digitized AI-enabled valuation platform in North America, Anow continues to be a competitive differentiator in the valuation space. By eliminating inefficient processes and streamlining workflows, the platform has drastically reduced timelines and created substantial cost savings for appraisers, lenders and consumers. Following its integration into the Voxtur brand, Anow saw exponential organic growth during the third quarter. We worked in partnership with one of the largest warehouse lenders in the U.S. to launch the first cloud native lender-direct appraisal platform. The platform incorporates AI and machine learning functionality to ingest appraisal orders directly from the lenders, loan origination system, and route optimized for fulfillment. This initiative not only increased our recurring revenue with a high volume captive client and transaction based pricing model, it also accelerated the further development of the platform to add new functionality and use cases. We've adapted by rapidly expanding our development efforts to meet client demand and anticipate either higher rate of growth in the months to come as appraisal volumes increased following the termination of COVID-19 related restrictions. In August, we closed the acquisition of Xome valuations. As a leading provider in the valuation space, this acquisition brought us not only brand strength, and a strong client base, but also technical and operational expertise. By fully integrating the Xome business is Anow SaaS-based platform, we have created one of the industry's largest valuation management platforms. Our widespread client base and data ingestion capabilities will allow us to further grow our data repository and create additional efficiencies through the use of machine learning and predictive analytics. We also made substantial progress in our tax assessment division during the third quarter, as we continued to bolster our SaaS-based platform through the integration of acquired software assets with our native assessment technology. With our acquisition of Apex software in 2020, we were able to integrate the industry standard software for property sketching into our desktop review property assessment platform to create the first digitized mobile assessment application in North America. With this foundation, we have continued to develop and build additional SaaS-based assessment tools, including a predictive analytics tool that utilizes Voxtur's expensive data repository to confirm assessment values for consumers, lenders, and assessors. Additionally, in the third quarter, we executed a purchase agreement to acquire RealWealth Technologies, a fully digitized asset management platform that democratizes data and brings unprecedented transparency to the management of real estate assets. We closed this acquisition early in the fourth quarter. As we continue to develop the functionality of this platform and expand our client base in the U.S. and Canada, we have unique opportunities to provide value directly to consumers. This platform serves as another SaaS-based touch-point in the real estate lifecycle, and we expect to see substantial growth throughout the remainder of the year and into 2022. Finally, you may recall that we announced the acquisition of Benutech earlier this year. Last week, we announced the execution of a purchase agreement we expect to close this transaction in the fourth quarter. This will result in an immediate substantial infusion of property data into our growing repository and add a suite of SaaS-based tools to drive growth in our title and settlement division through recurring revenues with subscription based pricing. We will also take the opportunity to leverage the Benutech data and analytics functionality across our evaluation assessment and asset management division. As the market for data driven insights and efficiencies provide an opportunity for substantial growth in all areas, we've seen significant market traction over the past several months, as we have established ourselves as one of the fastest growing innovators in the real estate technology space. We will continue this growth and we will continue to prioritize the acquisition of data assets and the expansion of our data analytics capabilities. So, I'm going to now take over the business update.
Gary Yeoman: I'm on now, if you'd like me to start with the technical difficulties.
Jim Albertelli: Yes.
Gary Yeoman: Before you go forward.
Jim Albertelli: Yes, I'll finish this Gary. And then let's pick it up with a quick Q&A, if that's okay with you.
Gary Yeoman: Okay. Okay.
Jim Albertelli: As we were just talking to from Angela and Gary, we had a productive third quarter focused on the execution of our growth strategy and transition to a SaaS-based model. We are seeing revenues increase as we further integrate our acquired assets into our cloud native environment, and we continue to see significant returns from investments in marketing and enterprise sales. With a robust sales pipeline and client demand at an all time high, we've had to rapidly increase our technology development and infrastructure to keep pace with this accelerated growth. We are constantly evaluating and iterating all of the component parts of our business to create the most comprehensive and effective toolbox for the real estate ecosystem. It is with this overarching goal in mind that we continue to focus on the digitization and synthesis of our data assets. The focus is eliminating inefficiencies and providing elegant solutions for consuming constituents. Our business teams are delivering these cloud native SaaS solutions, while cognizant of operational excellence and ultimately resulting in demonstrable client successes. One example of the synergy of vision and innovation leading to SaaS-based operational excellence lies within the valuation technology group. The valuation technology team had a particular active quarter, with the development and launch of our direct-to-lender appraisal platform. Our team collaborated closely with the client to build, adapt and launch this platform in a matter of weeks, an extraordinarily condensed timeline, while this required intensive effort and a rapid ramp up and resources, the implementation resulted in significant revenue growth with a revenue model that incorporates both transactional fees from each lender-driven order and subscription fees to participating appraiser as well as increasing market demand for the streamline direct-to-lender model, we expect to see substantial growth in this division in the months to come. In parallel with the launch of our lender direct platform, we also accelerated the development of our AMC direct appraisal platform, another initiative that has been driven by strategic client partnerships, with strong partnerships and deep expertise in AMC space, we have anticipated the needs of the market in this development and anticipate a high rate of user acceptance and demand. Once again, domain expertise and deep data lead to a Voxtur innovative solution. Following our acquisition of Xome Valuations, the valuations operations team were diligently doing integrate the Xome business into the Voxtur infrastructure. We launched the Voxtur valuation technology brand in the fourth quarter and expect the consolidation to be completed in the fourth quarter, including the transition of all legacy clients into a singular streamlined platform. We expect to continue this momentum in our valuation technology division throughout the fourth quarter and into the new year where you will see the announcement of additional strategic partnerships and resulting revenue increases. Our title and settlement division has also had a productive quarter, focusing on creating additional operational efficiencies and on-boarding new clients, driven by our investment in enterprise sales. Through the continued consolidation of retail and default title business, we have benefited from economies of scale and leverage operational expertise across the enterprise. We expect to see reduced costs as well as increased revenues in 2022, resulting from increased volumes, following the termination of certain COVID-19 related restrictions. We also anticipate the announcement of several new strategic partnerships and joint ventures, including announcements related to our title insurance alternative. Finally, you can expect to see the nationwide launch of the Voxtur settlement services brand, which will lead to increased brand recognition for the Voxtur Enterprise. Our Property Assessment division continued its trajectory of organic growth by leveraging the broad U.S. client base of Apex software to cross-sell and increase revenue across property tax and assessment product lines. Strategically, we remain focused on the develop of new functionality, including the predictive, confirm your assessment tool, which will create additional revenue opportunities, while confirm your assessment will allow the current clients, municipalities and governmental entities to validate assessments, it will open up a new direct-to-consumer property tax validation tool for some $140 million homeowners in the U.S. alone. We anticipate growth in recurring revenue with current clients, as we market this tool on a subscription basis and create transactional SaaS revenue through the expansion into our consumer channel. Speaking to the consumer channel, the closing of our acquisition of RealWealth Technologies provides for a repositioning of current Voxtur digital assets to this new market. Voxtur Wealth, as a platform, delivering Voxtur data and SaaS-based tools to benefit consumers in the management of their real estate assets, we expect this to be another source of recurring revenue with both transaction and subscription pricing. In closing, we are pleased with the progress during the third quarter and are confident in our outlook for the remainder of the year. Thank you for joining us on the call today and for your investment and your interest in our growing company. At this time, I'm going to turn it over to Stephanie, to open up the Q&A. This is a one-hour hard stop and any direct questions, as we previously mentioned, can go to Jordan at voxtur.com, Gary or myself. Thank you, Stephanie.
Operator: [Operator Instructions] Your first question is from Christian Sgro with Eight Capital.
Christian Sgro: Good morning, Jim, Gary and Jordan, and Angela. Congrats on the agreement to close Benutech that I think came through just a week or two back. On the Benutech acquisition, could you refresh us on the ways you're thinking of folding in their data? Which offerings will support or enable or is it more of a broad fits across the whole data platform?
Gary Yeoman: Jim, let you start with the integration of how we're doing that and to the extent that I need to add anything on the strategy I will.
Jim Albertelli: Certainly. Christian, good morning. Thanks for your question. The Benutech acquisition is -- gives us a unique access to an extremely large, well recognized data set. That data set we expect to power several different efficiencies and enhancements across the enterprise. On its face, Benutech comes with a set of tools that allows the mining of leads effectively for title companies and mortgage lenders. Getting closer to the lead source for mortgage companies in an environment where you see rising rates, constraining the loan volume, as well as drags on the supply. Having access to an unique determinable lead source that we can provide to our lending clients gives us an advantage in the market space and opens up the door for part of our land and expand strategy. Being closer to what's keenly valued among our clientele, namely loan production, allows us to be uniquely situated in that regard. That will generate -- that functionality will generate additional opportunities for the title and closing and settlement services to add into a creep onto any data relationship that we may develop with lenders using the power of our MSAs previously assembled, the Master Services Agreement. Secondarily, the data asset will power part of the unique tools that were created by Gary with ILA previously to our previous to our merger. And in essence, the data is the fuel that will power real property tax analytics that we currently deploy using Canadian data in the provinces of Canada to the 140 million homeowners that I mentioned. So that dataset will power not only our expansion into the consumer channel for tax, but it will also power part of the functionality for the RealWealth platform as well. So, we plan on using the data and technology directly in its current wheelhouse which is the lead generation for mortgage lenders and title companies. And then, we intend to redirect that data to further enhance some of our products we've been offering the RealWealth platform, Voxtur Wealth now, as well as to confirm your assessment. So, we see multifaceted uses of that vast data asset coming into our data store being deployed effectively to our clients.
Jim Albertelli: And if I may add on to that, I just want to talk a little bit about RealWealth, with regard to the integration of certain data from Benutech. Essentially what RealWealth is going to do, it's going to be a central repository of all data for every asset, residential asset that we have on our platform. And ultimately, our intention originally was deal with elderly fraud. Effectively, what we're going to do is put data on that asset on a private distributed ledger, and essentially provide these homeowners through our clients the opportunity to provide them with the value in the property every year, to provide them with the opportunity to review the taxes to provide them with the opportunity if desire to identify an agent or broker if they want to transact with respect to buying or selling of their properties, provides the homeowner with an opportunity to review operating expenses with that asset, whether it's in the insurance side, whether it's landscaping, snow removal, pool services, et cetera, et cetera. It's a massive growth opportunity to deal with elderly fraud. But most importantly, it will be a central repository for each individual asset. Our intention is to add things like homeowners' inspections, alterations or renovations. So when you take a look at RealWealth, with the advent of the data that we're getting and the valuation capabilities, essentially all we're doing is taking every service that we have in our company and repurposing those on service offerings into a centralized database platform for our clients.
Christian Sgro: Perfect. That's tons of helpful color on Benutech and RealWealth. I wanted to ask you a question to other segments, Anow and Xome. Xome Valuations is a huge revenue contributor and congrats on the big lift this quarter. Is there -- you were talking in the prepared remarks on the opportunity to cross-sell into Xome or rather integrated into the Xome Valuations business? And that sounds like an opportunity to work, something that's you're working through right now. Is there any color you'd share on the ability to streamline the Xome business or increase margins or optimize processes there?
Jim Albertelli: Sure. So remember, we talked about the each of our acquisitions, having kind of four tenants, right being in the real estate space, being software-as-a-service, having positive EBITDA and being accretive. And the Xome acquisition was one example of, and both Anow and Xome were both qualifying all four of those categories as part of the acquisition thesis. What's not self evident is that when we did the Xome track transaction, you had the -- they had their legacy technology, which we will effectively replace over time with the Anow, which we call now the Voxtur assessment technology. And we will put it in place to create greater and streamline workflows and efficiencies, route optimization for the appraisers, and create a shorter timeline, ultimately, for Mr. Cooper as the lender. But there were two other components to that, one component that is not self evident, but you may remember. But again, back to the RealWealth, and how it's going to redeploy our assets, we acquired as part of that transaction, access to almost 100% of the MLS data throughout the country. So, part of the Xome thesis was the core business had additional MSAs with other lenders that we could append on to and we've already done that. The second thing we could do is replace the current tech and the tech debt with the new Voxtur technology over the appraisal management component, which we will do formerly known as Anow. And then, the third piece is attending to our vast data store with almost 100% of the MLS data. So again, you can you see a common theme with the acquisitions first on their four tenants, but then on us assembling what we need to do to create the efficiencies for our lending constituents by combining the several product offerings. You can also see where we can redeploy pretty clearly the additional data that we're acquiring as a result of the transaction through a platform like a central repository, Gary described in RealWealth.
Gary Yeoman: And just one other thing, Christian, that's kind of important to note. If you take a look at the Anow platform or the digitized valuation platform, and what Jim talk about in our growth in SaaS-related operations. The gross margins on Anow platform is north of 80%. The gross margins typically on basically appraisal management services, is 25%. Effectively, once we have the opportunity to fully integrate the Anow platform into the valuation, you're going to see exponential growth in the growth markets right across our company in a material way. And so essentially, what we're getting, it's a client base. We have the master service agreements in place. We have the relationships with the clients. We have the ability to deliver the valuations, but to be able to incorporate AI infused SaaS enabled platforms. Digitized, which is not being offered in North America today is the single biggest differentiator in transforming this real estate industry in the valuation space. So collectively when Jim talked about the tenants, the four tenants, synergy is a material, material benefit to be able to go in and cross out, not only all of our core operations to the same lender, but obviously our goal is to improve our gross margins as well.
Christian Sgro: That's great, Gary and Jim. Thanks for taking my questions, and I'll pass the line.
Operator: Your next question comes from Chris Thompson with eResearch.
Chris Thompson: Good morning, everyone. Thanks for taking my question. Earlier this year, you provided some guidance of $80 million in revenue, and with your strong Q3, it looks like you will achieve that. Just wanted you to confirm your previous guidance, and if you're going to provide any guidance for 2022.
Jim Albertelli: If I may make this, Jim. If you recall and you read the slide decks that we've prepared in providing that forecast, we indicated that we would do $60 million, assuming that, the moratorium was not lifted and basically people moving into the default space on the properties. And we provided an $80 million estimate in the event that the moratorium was lifted halfway through the year. While the moratorium was not lifted, and obviously our performance is well exceeded, that guidance lifted, it is always nice to be able to under promise and over deliver. And I think we've done that in this case. We also believe that, it's very beneficial acting conservatively and we continue to provide updated guidance on a go-forward basis. We have an offsite in Tampa this year with our Board of Directors and our management team, and we will be having that as a topic of conversation. We believe you as shareholders need to be updated, but at the same time, we also understand the responsibility to act conservative. But we are very happy to report today that we will exceed those of expectations that previously provided. And we feel very strongly that the moratorium will be lifted in 2022, and we'll be the beneficiary of those tailwinds on that as well.
Chris Thompson: Great. And just one up question. You did provide some guidance on some positive EBITDA for 2022. What sort of revenue do you think you have to hit to see some profitability in the quarter?
Jim Albertelli: Well, we believe, we feel very strongly that we are going to be profitable in 2022, and we may even see some slightly positive EBITDA in fourth quarter. But obviously, it's important for us to act conservative in our estimates. But with the advent of the $25 million that we did this quarter, obviously, we feel very, very strong that we are going to improve on that. We know we will improve on that in the fourth quarter in a material way. And so, essentially what we are saying is that, once we kind of get to that $40 million quarter revenue, we should start spouting off very positive EBITDA on a go forward basis. So, you can kind of take that as some guidance. The other thing too we have to understand is that, we had experienced significant infrastructure costs to basically upgrade our technical aspects of our business and doing that you don't get the immediate returns because you have to build. I mean, with the wholesale lender that we took on in space, we had to totally reconstruct the technology that we were providing for this digitized valuation. Essentially what we were able to do is give insight for the lenders and everything that they need to know as we go through the progress of valuing the property, where the appraiser is, what the status is, et cetera, et cetera. They have full clarity on the progress of that valuation purpose. So, that builds up a bit and infrastructure hasn't allowed us fully to maximize our profitability. We feel that we have most of the people in place. We still have to have some upgrades. But with the advent of increased revenue, should exponentially go to the bottom-line as opposed to being kind of a great piece of business to what we have experienced for 2021.
Chris Thompson: Thank you. That's my question is for now.
Operator: Your next question is from Colin Fisher with Garrison Creek.
Colin Fisher: I'll say congratulations to all of you and I'd also just like to point out that 37% quarter-over-quarter growth is not flat. So regarding your gross margins, it looks like they went from 46% down to 39%, is it because the Xome acquisition closed September 1st, and Anow revenues didn't really fully kick in until October 1st?
Gary Yeoman: That's correct. And as Jim pointed out Colin, you know that with the Xome acquisition, as in the previous acquisition for our AMC and Clarocity, with the advent of Anow integrating the digitized platform into that, we're going to see exponential increase in the margins. So, we're taking this on, we have an integration process to go through in two ways. Number one combining existing valuation business with Xome and number and taking on a new platform and then third, integrating the Anow platform. So, you can expect to see margin increases because of that.
Colin Fisher: What does steady state rent gross margins look like for Voxtur over the all platforms?
Jim Albertelli: Well, I mean, I think that going in, we were around 47%. And obviously, when we take a look at the tax platform that we're going to roll out, we're going to be north of 80% margins, margins digitized platforms over 80% margins, with the advent of our asset management platform led by Ross McCredie, that's going to extremely high margins. So, what you're going to see is, with the integration of our technology taking hold over -- and basically revolutionising the based businesses, you're going to see exponential increase in gross margin in a material way, over the months and years ahead.
Colin Fisher: Your revenue growth has been mostly driven by acquisition at this point on a go forward basis, what drives growth as a primary M&A or will you have more organic growth to begin driving growth?
Gary Yeoman: It's interesting you say that Colin because I don't think I entirely agree. I think that our acquisitions provided us with an opportunity obviously for revenue growth. But when you take, for example, the Anow platform, when we bought that business, we're only showing about 1.5 million of revenue and 150,000 of profit. It is not coincidental that with the advent of the strong sales force, and strong leadership by Jim and his operations team that we have had massive growth, just in the short seven months that we've had Anow platform. And so, I call that organic growth. I don't call that acquisition growth. Having that opportunity to have that, and putting it in, give us the opportunity to have that revenue growth, but it was a collaborative effort between besides having the technology, but by having Jim and his team, and the salesforce and the operations people that we basically provided Marty with the opportunity to grow, that was what we call organic growth and that's been the driver behind the growth of our revenue.
Colin Fisher: Okay. And with regards to your future M&A deals, what are you looking for in future M&A deals and what does growth capital look like for Voxtur? A debt equity and where are you going to source it from?
Gary Yeoman: Well, I mean, Jim talked about it at the forefront. I mean, the four tenants got to be in real estate. It certainly got to be a creative. We need to be in the technology space and equally and most importantly, in all of them, it has to be synergistic. So we bring a business in. And because we bring that business in, it can augment and help grow each of our other service offerings. So, what we found and because of what was done with the operations, we found that the opportunities are more being presented to us rather than us going out to seek math is a massive turnaround from where we were a year ago, a year and a half ago. But clearly, the synergy is, it is important to us, I mean, all four of those tenants are important to us. So, we will not say that we won't do anything or we certainly want to help mature the existing businesses that broadened to the global need to do that. But if you have to make accretive synergistic technology business that we feel will augment everything that we do and an attractive price, obviously, will continue to do that. At the same time, we currently not sort of being very cognizant of the importance of organic growth with business in the demand. So, we'll continue to do that. I think people saw what we did at all this, when I left the Company or started the Company, we did a number of acquisitions, but there was material organic growth that basically worked concurrently with the accretive acquisition. So, it'll be that continued on the same.
Colin Fisher: And for the sources of capital were and debt equity, what's that going to look like?
Jim Albertelli: Angela, if you want to hop in on that?
Angela Little: Sure. I'm happy for you. So right now, we obviously have closed most of the acquisitions this year, primarily with cash. We plan to continue to do that with the Benutech acquisition. And then as we move forward, we will continue to work with BMO, who's been a great partner to us. But of course, also talking to other potential investors, I don't think you'll see quite the same activity next year, as we have this year, it's going to be much more strategic as the Gary and Jim have mentioned. But that is something that, we are carefully looking at as we move ahead, just to make sure that we've got the Company positioned in the best possible way.
Colin Fisher: And how is -- with the foreclosure moratorium, is that finally coming off, like where are we at with that, we starting to some flow on that?
Jim Albertelli: Yes, I'll take that question. And this is Jim Albertelli. The, all the leading indicators including the bank request, regarding capacity, indicate that the moratoria in the majority of almost all state jurisdictions and the federal moratorium will be lifted as on 11/22. So, we've already received inquiries from a number of the top 10 financial institutions in the U.S. looking at moving those matters forward. That's going to portend for both growth in our SaaS-based technology that manages default as well as technology we haven't really talked about the bankruptcy environment technology that is run by a top five U.S. bank and a top five mortgage servicers. So, you'll see technology growth and SaaS-based revenue again, north of 75% gross margin and the default management space as well as in the bankruptcy space, beginning in January with the moratorium lift in.
Colin Fisher: Jim, what are you also talking to move into some of our dormant entities with the clearing house in the call center that by virtue of the moratorium have basically been held in abeyance? And so, it's not just more activity from a valuation title, but talking a little bit about no dormant entities that we have?
Jim Albertelli: Yes, in the Voxtur technology suite, we have built essentially AI-enabled chat technology. So, we have Chatbot technology that fits in with call center activities. So as you could imagine, as the moratorium, it's like skinners positive and negative reinforcement. If you remember that from psychology class, people who aren't forced to pay more and people who don't have to pay well, obviously, they're not going to take any remedial measures. So, there is a very high number of, as a percentage of constituents. Typically, I think its 3% to 5% people don't engage when the banks make outreach to do a loss mitigation or workout. That numbers around 18% in large part to the way that the governmental entities have handled the moratorium and the communication. So what we're going to see is that as that activity begins to start in January, there'll be more demand on the call center. The technology that we have in the Chatbot world, there'll be more transactions between and consolidations with servicers we have another technology that is a natural language processing tool that takes loans from origination systems or various servicing systems and reads those documents and places the data into the new servicing platform. So, we have that technology. We have the bankruptcy environment technology, which has been dormant and basically that's a clearing house between connecting the debtor, the bankruptcy trustee, the bankruptcy court and the mortgage servicer. So, it's a complete management tool to process and maintain all of the payments that come in through a bankruptcy case. And then, we have a suite of technologies that manage the defaulted asset, the foreclosure, giving insights into the non-performing loan pool and their performance on a very granular level. So, people can make investment decisions and legal decisions across multiple jurisdictions. So you have a suite of services and technologies. The services being the brokers [indiscernible] BPOs that are managed through an Anow technology and that are facilitated through the Voxtur appraisal services. So, you have services and technologies all dormant as a result of the various moratoriums that we should start to see activity on, as this files move in January, February, and really culminating into a very robust growth through Q2 and Q3 of next year. And so, that's what you should look for those leading indicators. And that's what we are seeing as far as the inquiries that are being made by the financial institutions at this time around capacity.
Colin Fisher: And Jim, I just maybe want to remind everybody that pre-COVID, which was not during your affiliation with us, but pre-COVID, without inserting the robust technology that you have built up to and including today, you were generating revenues of in excess of $80 million with profits in around that $20 million mark. To date during the moratorium, that business has been relatively flat and we have been struggling to see any property or material profitability, and because of that. So even without technology, we feel that, you're going to have some robust growth in that area. But combined with the technology, I think that the tailwinds are pretty strong for us. Do you agree with that Jim?
Jim Albertelli: Yes, I would. When you look at it and you see across the enterprise, and so the question was asked earlier about gross margins and the mix. And how does that look as a percentage of revenue, et cetera, and you expect to see it being more heavily weighted on that 80 percentile, as we move through 2022 and really moving to that margin, because the technology's not only the Voxtur Valuations technology that formerly known as Anow or the Voxtur default suite of technologies. Those are all very high margin technologies that will begin to proliferate in Q2 and Q3 of 2022 and beyond. And then that as a weighted factor among all of the revenue streams is going to be more heavily-weighted as a larger percentage of overall revenue with a higher margin, and you should expect to see that margin growth as well as the additional growth in top-line revenues.
Gary Yeoman: Okay. I don't see its' Jordan Ross calling. I don't see any more questions. I'm happy to feel more questions after the call. Again, feel free to reach out directly to me at jordan@voxtur.com. We appreciate you taking the time today supporting the Voxtur Analytics growth story. And without further ado, thanks again, and operator, I'll turn it over to you to terminate the call.
Operator: Thank you. This concludes today's conference call. You may now disconnect. Speakers please hold the line.